Operator: Good day, ladies and gentlemen, and welcome to the Gold Fields' Fourth Quarter and Year-End Results. [Operator Instructions] Please also note that this conference is being recorded. I would now like to hand the conference over to Nick Holland. Please go ahead, sir.
Nicholas John Holland: Thank you very much, Kevin, and good morning or good afternoon, ladies and gentlemen, wherever you may be today. Thank you for joining us to discuss the Gold Fields' results for the fourth quarter and also for the full year ended December 2013. With me today are Paul Schmidt, our Chief Financial Officer; and of course, Willie Jacobsz, our Head of Investor Relations. As you may recall, in mid-2012, Gold Fields embarked on a fundamental shift in its strategy, moving away from purely ounces of production to a primary focus on margins and cash flows. And to this end, and to sustain our business in the long term, we started a process to engineer a sustainable and structural shift in the group's cost and production base, and this process continued through the December 2013 quarter, and the results that we published today reflect much of the progress that we've made over the past 18 months. However, let me start with a few of the key quarterly numbers and some of the salient features. Gold production, up 21% on the previous quarter at 598,000 ounces, and this includes the first contribution from the newly acquired Yilgarn South assets in Australia, which contributed 114,000 ounces during the quarter. Normalized earnings, $14 million compared to $12 million in the September quarter, and it compares to the period last year $127 million, of course, with a much higher gold price. Encouraging is the fact that net cash generated by our business, our core business that is, before financing and any other acquisition costs, was up from $3 million in the September quarter to $38 million in the December quarter. This is despite the fact that at $1,265 an ounce, the average gold price in December was 4% lower than the September quarter. And this really has been the crux of our restructuring, is to return the business to cash generative after what has been a very difficult year with the gold price having declined significantly. We declared a final and full year dividend of ZAR 0.22, and this dividend is in accordance with our policy, which is to pay out between 25% and 35% of our earnings. And this really is about midway between those 2 points on the curve, and our policy remains unchanged as it has done over the last 4 years. Impairments of $672 million have been incurred, principally in Australia and Ghana, and that's solely as a result of the lower gold price and high discount rates used to discount future cash flows. Just to clarify here, essentially, we haven't really had any significant technical remodeling of our ore bodies. This really represents a change in the economics, as a result of the low prices and the higher discount rates. As far as costs are concerned, I'm pleased to report that we've continued to make good progress. In the December quarter, all of our mines, except for South Deep, which is still a project in buildup, had cost below the gold price for the quarter, which, as I said earlier, was $1,265 per ounce. The group's all interest earnings cost for December quarter is $1,054 per ounce, and that's 3% lower than the $1,089 per ounce achieved in the previous quarter and a 24% improvement on $1,383 per ounce reported in the comparative quarter of 2012. And I think that gives you an indication as to how much has been taken out of the cost base, dropping from $1,383 in December 2012 to $1,054 in December 2013. In our opinion, all-in cost is the more appropriate number, as it includes all costs, including ore capital, so it doesn't leave any judgment as to what we believe is sustaining ore growth. In fact, in this industry, we would argue all, if not most, of capital is in fact sustaining. Gold Fields' total all-in cost of $1,095 per ounce for the December quarter reflects an improvement of 7% on the $1,176 per ounce achieved in the September quarter. And again, a 32% improvement on $1,621 per ounce in the comparative quarter of 2012. Again, you can see a massive shift in the cost base from $1,621 to $1,176. If South Deep is excluded, then the group all-in cost is $1,040 for the December 2000 quarter. Now I say that because South Deep is still in mining ramp-up. It hasn't yet got cash positive. That does, however, indicate the robustness of the rest of the portfolio, which includes, of course, the Yilgarn South mines. Based on the annualized results of the December 2013 quarter, compared with the results for the year end in 2012, we have through the course of 2013 eliminated approximately $450 million from our cost capital and international projects and growth expenditure. Our costs are now approximately the same as they were 3 years ago, despite double-digit mining inflation in some of the past years. I'd like to talk about specific interventions we've implemented at our mines in pursuit of cost savings and efficiency initiatives. At Lawlers and the adjacent Agnew mine the services, infrastructure and human resources have been consolidated, and the mine in the short period of time is now being operated as a single entity. The Lawlers processing plant has been closed and all material is now transported to the Agnew plant. During the December quarter, the combined Agnew/Lawlers mine produced 74,000 ounces at an all-in cost of USD 929 per ounce. Granny Smith produced 62,000 ounces at an all-in cost of USD 888 per ounce. The Darlot mine, which was previously a lossmaking operation, 1/3 of the 3 mines we acquired from Darlot, achieved production of 20,000 ounces in the quarter at an all-in cost of $1,132 per ounce. On a consolidated basis, the newly acquired Yilgarn South assets produced 114,000 ounces at an all-in cost of USD 940 per ounce during the quarter. During the December quarter, both Damang and Darlot implemented a range of operational improvements which have significantly reduced their costs and enabled them to return to profitability. Damang produced 45,000 ounces at an all-in cost of $1,261 per ounce in the December quarter. This compares to 33,000 ounces produced in the previous quarter at an all-in cost of $1,727. In other words, we've seen around a $500 an ounce decline in all-in costs. We believe that the performance of Damang during the past quarter is a good platform, and that the interventions that we've made in the past quarter have given Damang a new lease of life. At Tarkwa, the North heap leach operation started at the end of December and will be reflected in the results of 2014 onwards. Let's talk about South Deep briefly. During 2013, South Deep continued its positive buildup trajectory with gold production improving by 12% to 302,000 ounces in 2013. Importantly, the critical de-stress mining increased by 24% over the year and is now more than double of what it was 2 years ago. South Deep is also continuing the process of rightsizing the cost base, in line with the mine's production profile and its cost performance in the December quarter reflects the work that we have done today. South Deep's all-in cost for the December quarter was $1,436 per ounce. This is 10% lower than the previous quarter, but more importantly, 35% lower than the March 2013 quarter when it was over $2,200 per ounce. I think this gives a clear indication that South Deep is getting closer to cash breakeven as it builds up its production. Over the past 6 months, we've done a comprehensive review of the buildup plan for South Deep, and we today provided information on the revised ramp-up schedule for the mine. The outcome of this review that was announced on 22 August last year is that South Deep is expected to ramp up to a steady-state production, run rate of between 650,000 and 700,000 ounces per annum by the end of 2017 at an all-in cost of around $900 per ounce. During 2013, we also saw the rationalization and prioritization of all capital expenditure and, where appropriate, the deferral of nonessential capital expenditure, and that remains a key focus for 2014. Capital expenditure for 2013 was reduced by $230 million from $970 million to $740 million. In fact it was significantly lower than the $1.2 billion we spent in 2012. This is expected to fall below $700 million during 2014. We also completed the breakup of the Growth and International Projects division and the commensurate reduction of all GRP-related expenditure from approximately $281 million in 2012 to $162 million in 2013 and a projected $46 million in 2014, as you can see, a very, very substantial reduction from what we spent in 2012. We've reduced our exploration portfolio to only a handful of the best projects, all in the Americas and relocated responsibility for these projects to our regional management. This is not to say that we have abandoned growth in Gold Fields. In fact, growth is important, but we believe the key growth metric that we should be looking at is not a growth in ounces, but a growth in cash flow. And that really is our mantra going forward. We want to grow the cash flow of Gold Fields. If we can do that with more ounces or less ounces, we're quite neutral on that, but the important thing is we want to grow the cash flow. I think the days of just wanting to grow tonnage and ounce profiles are over, certainly for us, we want to grow our cash. If we can grow our cash, we can pay more dividends and we can certainly then look around for other opportunities if we want to grow the portfolio. But this is the first and most important platform for the future. An important change in our portfolio in the last year is we've changed the geographical footprint of the company significantly. In February, we unbundled Sibanye Gold into a separate company. The fact that Sibanye is doing as well as it is, is a great comfort, as that is exactly what we envisaged when we conceived the strategy to unbundle it and give it to our shareholders. Neal Froneman, the CEO, is doing a commendable job and we believe that this strategy has created value for our shareholders. In October, we finalized the acquisition of the Yilgarn South assets in Australia. Largely as a result of these 2 transactions, the Sibanye deal and the Yilgarn South deal, Gold Fields is today a very different company from what it was in 2012. We now source 43% of our production from Australia, 31% from Ghana and 13% from each of Peru and South Africa. Before I end, I'd like to make a few comments on our balance sheet. Our total outstanding debt is $2 billion, and after cash, our net debt is USD 1.7 billion. Based on our December results annualized, our net debt-to-EBITDA is 1.5. Important is to mention that we have a conservative debt maturity ladder. 49% of our debt is a 10-year bond with no covenants and a fixed coupon of 4.8%, and that matures in October 2020. Further, 35% of our debt or some $700 million has a maturity date at the end of 2015. While this is not an onerous [ph] maturity schedule, we continuously look at ways in which we can position ourselves better. We also have around $750 million of committed headroom should we need it. And just to remind you that, that 1.5x net debt-to-EBITDA is well within our debt covenants ratio. Finally, other changes that we will see in 2014 include that from quarter 1, Gold Fields will exclusively report its cost in accordance with the new World Gold Council definition for the all-in sustaining cost and all-in cost, and we will be no longer reporting cash cost, which in any event, we believe is misleading our notional cash expenditure. So from quarter 1, 2,000 onwards, you'll only see those costs metrics, as we actually identified back in August and in November. Also from quarter 1 next -- this year rather, Gold Fields will report in US dollars only, as we believe that it is now appropriate to unitize our reporting in US dollars, given that we have a global portfolio of assets. Thank you very much for your time. I'll now open the line for questions, and either myself or Paul will do our best to answer your questions.
Operator: [Operator Instructions] Our first question comes from Patrick Mann of Deutsche Bank.
Patrick Mann - Deutsche Bank AG, Research Division: So just 2 follow-up questions. On the depreciation, it was obviously up 24% from the previous quarter, and that was attributed to the acquisition of the Yilgarn South assets, quite a detailed question. Where do you see that going next quarter, given that we've had the large impairment at the end of this quarter? Are you expecting it to remain so high or should it take a step change down again? And then one more question, just no impairment at South Deep in this round of impairments. Is it possible that it could be impaired, have you done an impairment test, and can you just go over the color on that?
Nicholas John Holland: I'll talk to both. I'll talk to South Deep first. South Deep has got quite a lot of headroom in terms of the impairment couch[ph]. So I don't see any impairment of South Deep in the foreseeable future. Of all our assets, I think it’s one of the ones with the biggest headroom. In terms of the depreciation, yes, we're seeing impairment [indiscernible] in Australia and Ghana. We must probably expect in the region of about a 10% decrease in depreciation somewhat for this first quarter.
Operator: Our next question comes from James Bender of Scotiabank.
James Bender - Scotiabank Global Banking and Markets, Research Division: I know, Nick, you mentioned that you will no longer be providing total cash cost as guidance. But just to help us out, for coming '14, would it be possible for you to give us a ballpark of what the 2014 total cash cost will be?
Nicholas John Holland: No, we're not reporting it. As we've said back in August, we want to move off cash costs. We don't believe it's an appropriate measure, and we are driving our sales towards all-in costs. As I understand, the other members of the industry to the council have agreed to. So we won't be providing that in the future. We gave significant advanced warning on that, and we believe the best indication of cost is the all-in cost and all-in sustaining cost, so that's what we're going to be reporting.
Operator: [Operator Instructions] Our next question comes from Brian Nunes of Gramercy.
Brian Nunes : Just a few questions, if I may. Your forward-looking guidance of all-in costs are $1,150 per ounce for 2014. Is that still taken at a 15%, planning at 15% free cash flow margins, we -- I can assume you're planning on a $1,350 gold price?
Nicholas John Holland: Well, what we're doing is we're striving to get every asset to make a 15% cash flow margin. Now obviously, some of them make it and some of them don't make it. Clearly, South Deep we'd like to try and get it as close as we can to breakeven. Mines like Damang were losing money, so just to get them positive I think will be a good start. Darlot also is losing mines [ph], so to get that positive would be a good start. So on a blended basis, we don't get every asset to 15%, but we get Australia pretty close to that, we believe, at that price, and also Tarkwa cuts[ph]. That's really the targets, on a blended basis, we don't quite achieve it, but we're moving towards that. So I think that should indicate to you why the numbers don't quite that calculate.
Paul A. Schmidt: Yes, we're using the $1,300 gold price. But I think the one thing you must remember, in our all-in and all-in sustaining cost, we have share base payments. At Gold Fields, we issue shares and that's not a cash expense. So if you back that up, our actual cash number is a little bit lower than that and it comes closer to the 15% at $1,300 gold price.
Brian Nunes : Understood, yes, okay. And then if I see the exchange rates, using the planning exchange rate of 950 rand to the dollar, given that, I would expect a lot of your so to say, South Deep and even in Ghana a lot -- no, let me just take South Deep, a lot of the operating costs in terms of labor rand-based, if you see a weaker rand, would that benefit you?
Paul A. Schmidt: Obviously, in terms of the weaker rand, we benefit in terms of the revenue line. For South Deep, on the operating cost line, there's probably 95% of the costs are South African source. The only exposure that they have is to some of the capital fleet that comes in from Europe. But yes, a weaker rand would definitely be advantageous to South Deep. In the short term and in the long term, we would have advantages.
Brian Nunes : Okay. And then could you give a little bit more color on what you did with the Damang assets? And you've gone through this review on how you plan to utilize going forward, it seems that you're going to continue for a bit. Maybe if you can just give a bit of color of what you're actually mining the pits and -- I'm just not clear on that, if you could.
Nicholas John Holland: Yes, sure. So if you can recall, Damang was made up of 3 principal ore sources. It was the Huni, the saddle and then Juno are the 3 sources. And our original plan was to try and come up with a big bang consolidated approach to that ore body and see how we could tackle 6 million to 7 million ounces in the ore body. We've realized that at a $1,300 gold price, that strategy isn't going to work because of the strip ratios in particular, and that the best strategy for us is to actually mine this ore body incrementally as we go. So what we're doing now is we're mining the Juno area. That's probably the focus of about 40% to 50% of our mining, and then we'll be mining judiciously into the Saddle area into a very different style of mineralization but it has high grade, that's shallower bands of mineralized zones. And we need a different approach to that and also getting into Huni. And that is going to give us, we believe, a much more sustainable cost base, and we'll learn more about the ore body as we get into it. And ultimately, to bring forward some of the resources not in reserve, we have a reserve of 1 million ounces and a resource of about 6, we would need to do a pushback of the original Damang pit at some point in time. But we believe that's at least 5 years off, and we've got enough ahead of us to economically mine at around $1,300 gold, 1 million ounces over the next 5 years. So that's going to be our approach. And then also to look at satellite pits along the trend and give ourselves more flexibility and options as we get into the pits. So as we learn more about the saddle area, as we learn more about Huni, we may adjust our plans going forward. But for now, we want to make sure that we generate cash, that we maintain a profile that gives us a reasonable contribution of gold so that we can cover all of our costs and that we can make a return sufficient to at least provide more exploration dollars and give some money into the central coffers. So this will be very much, I think, in the interim phase. But in the worst-case scenario, [indiscernible] we have 5 years, but we'll continue to look for ways to optimize the ore body and see how we can bring forward more ounces. So this is now a strategy really of saying how do we digest this elephant in smaller bite-sized chunks as opposed to trying to develop it all in one big bang, which I think at these prices is going to be too risky.
Brian Nunes : Right. And 2 more questions, if I may. The 720 million due -- I think that's due February 2015, at GFI joint venture holdings.
Paul A. Schmidt: December.
Brian Nunes : No, no, that's not that, sorry. What is you've got -- its a revolver that's coming due, what is your drawn [ph]? 720 million achieved by joint venture holdings is drawn, it's a loan drawn. Which asset is that serving? Is that serving the South Deep asset?
Paul A. Schmidt: No, I think you've got it on the 50 [ph] talking about the $720 million, that's a Darlot facility; it's got nothing to do with South Deep. It's one of my offshore borrowings, and it expires in November 2015, and we have the option to invoke a 1-year extension to it as well, which obviously we must probably will take up. So in reality that could only be due and payable at the end of 2016.
Brian Nunes : Okay, so that's the $720 million maturity that Nick referenced earlier?
Paul A. Schmidt: Yes, that's correct, yes.
Brian Nunes : Okay. And that's held with a bank or is that[indiscernible]
Paul A. Schmidt: That's a syndicated backlog. We have 16 banks in our syndicate. In that income, there's 2 $720 million facilities that we had an issue, had a $720 million revolver and a $720 million term. We subsequently changed the $720 million term to a $100 million term and a $620 million revolver.
Brian Nunes : Got it, got it. Okay. So that actually is not due February '15, it's November '15?
Paul A. Schmidt: November '15. We'll enforce the 1-year extension, yes.
Brian Nunes : Got it. And then just the last question, if I may. You in South Deep, you had a couple of -- you're going to -- part of the -- I'm a debt guy so I'm not a geologist, sorry about this, but the part of the issues with ramping up South Deep was the availability of the underground fleet and putting in new workshops, and there were a number of workshops coming online during this year. Is that still on track and to be met and do you see that debottling?
Nicholas John Holland: Yes. We got an early workshop on 93 level that we expect to commission this time next year, at the latest. In fact, we finished blasting it out and we'll be spending the rest of this year just doing the support and the encrypting of the workshop. So we're well underway to make sure that's being commission. But we're not waiting just for that. We're also debottlenecking all of the existing workshops to make sure that we can actually improve the space that we have for maintenance of our fleet, so that's all on schedule, and we're seeing improvements on that.
Operator: [Operator Instructions] Our next question comes from James Bender of Scotiabank.
James Bender - Scotiabank Global Banking and Markets, Research Division: I just have a follow-up question on the previous question on the foreign exchange. I just want to confirm that you said that 95% of the operating cost there are in rand? And then my follow-up question is whether -- do you have any hedges in place?
Paul A. Schmidt: No, we had some currency hedges at the end, which is part of the end of 2013. We have none at the moment on the rand, dollar or on the Aussie dollar, U.S. dollar.
James Bender - Scotiabank Global Banking and Markets, Research Division: And the 95% was correct? I heard that right?
Paul A. Schmidt: Actually, we said that 95% of my operating cost is rand denominated, not influenced by dollars at all.
Operator: Nick, we have no further questions. Do you have any closing comments?
Nicholas John Holland: Well, I just like to say thank you, everyone, for dialing in. And for those of you that we may see around the world in the next couple of months to go, I'm sure we'll have an opportunity to hear more of your questions. But thanks for your time everybody, and have a great day.
Operator: Thank you. On behalf of Gold Fields, that concludes this conference. Thank you for joining us. You may now disconnect your lines.